Operator: Good morning. My name is Ruel, and I will be your conference operator today. At this time, I would like to welcome everyone to Avantor’s Fourth Quarter and Full Year 2021 Earnings Results Conference Call. All lines have been placed in mute to prevent any background noise. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Now I would like to hand over the call to Mr. Tommy Thomas, Vice President of Investor Relations. Mr. Thomas, you may begin the conference.
Tommy Thomas: Good morning. Thank you for joining us today. Our speakers today are Michael Stubblefield, President and Chief Executive Officer; and Tom Szlosek, Executive Vice President and Chief Financial Officer. The press release and a presentation accompanying this call are available on our Investor Relations website at ir.avantorsciences.com. A replay of this webcast will also be made available on our website after the call. Following our prepared remarks we will open the line for questions. During this call we will be making some forward-looking statements within the meaning of the federal securities laws, including statements regarding events or developments that we believe or anticipate may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties including those set forth in our SEC filings. Actual results might differ materially from any forward-looking statements that we make today. These forward-looking statements speak only as of the date that they are made. We do not assume any obligation to update these forward-looking statements whether as a result of new information, future events and developments or otherwise. This call will include a discussion of non-GAAP measures. A reconciliation of these non-GAAP measures can be found in the appendix to the presentation. With that, I will now turn the call over to Michael. Michael?
Michael Stubblefield: Thanks, Tommy, and good morning, everyone. I appreciate you joining us today. I am starting on Slide 3. As you saw in our press release, we delivered another strong quarter, with above plan performance on all key financial metrics, concluding an outstanding year that reflects strong momentum across our end markets, disciplined execution of our operating plan and the value of our long-term growth strategy. In the fourth quarter, we achieved mid single-digit core revenue growth, driven by continued strength in our two largest end markets, biopharma and applied technologies and advanced materials. COVID-19 revenues were in line with guidance, and vaccine-related demand continues to be strong and revenue associated with diagnostic testing improved sequentially, reflecting increased testing associated with the Omicron variant. Despite continued inflationary pressures, we expanded margins by more than 150 basis points, including the favorable impact of our acquisitions in 2021. Free cash flow grew double digits and adjusted EPS increased more than 20%. In addition to generating solid financial results in the quarter, we also made significant progress in executing our long-term growth strategy. Most notably, we closed the Masterflex acquisition in November and are making good progress with the integration. Similarly, integration of Ritter and RIM Bio remain on track, and we are starting to realize the anticipated commercial synergies from both of these transactions. Representing more than 50% of our revenue, biopharma remains the key growth driver for our company, and we continue to drive innovation and growth with investments in manufacturing capacity, people and capabilities. In the fourth quarter, we advanced our expansion initiatives our key process ingredients used in upstream and downstream applications in the bioproduction workflow. Inaugurated our second European single-use facility in the Netherlands and opened a new single-use logistics hub in Massachusetts. Located near our single-use manufacturing site in the Boston area, the new logistics hub serves as a center for raw material storage, quality control and finished goods distribution, and is a critical enabler to the continued double-digit growth of our single-use platform. An important element of our growth strategy is helping scientists realize the potential of breakthroughs with the ongoing introduction of new products to keep pace with our research and development advances. We recently announced a commercial agreement with Agilent to provide customers with sample preparation content that can be paired with our extensive line of kits and consumables to enhance our liquid chromatography and mass spectroscopy workflow solution. The agreement supports our strong customer relationships across all of our end markets and will provide scientist’s broader access to Agilent’s content in these fast-growing applications. Looking ahead to 2022, we are poised for another great year at Avantor. We have good momentum in our end markets and the order book for proprietary materials remains strong. Consistent with our long-term growth algorithm, we expect mid-single-digit organic growth, more than 125 basis points of adjusted EBITDA margin expansion, more than $1 billion in free cash flow and mid-teens adjusted earnings per share growth. And as you would expect, we are hard at work in integrating our recent acquisitions, while continuing to consider future M&A opportunities. Moving on to Slide 4, I’d like to summarize our fourth quarter financial results. Core revenue increased nearly 5% on an organic basis and 6.5% on a reported basis, including revenue contributions from Masterflex, Ritter and RIM Bio, offsetting the impact of foreign currency exchange headwinds. As anticipated, core growth was partially offset by COVID-19 headwinds of approximately 2%, reflecting strong growth in COVID-19 vaccine-related revenue and year-over-year declines in diagnostic testing and PPE-related revenue. From an end market perspective, our performance was driven by mid-single-digit organic revenue growth in advanced technologies and applied materials, and biopharma, including more than 20% growth in bio production. Reflecting the impact of lower year-over-year COVID-19 testing and PPE revenues, we experienced mid-single-digit declines in both Healthcare and Education and Government. Adjusted EBITDA on the quarter was up 16%, reflecting volume growth, favorable mix, including low double-digit growth in sales of proprietary materials and consumables, productivity, and outstanding execution enabled by our Avantor business system. Similar to the third quarter, we were able to absorb inflation in raw materials, third-party products, transportation and wages, and still expand adjusted EBITDA margin by more than 150 basis points, which included an approximate 90 basis point benefit from M&A. The strong operating results, coupled with continued traction on borrowing costs and income taxes, resulted in adjusted earnings per share growth of more than 21%. We generated free cash flow of $314 million in the quarter over 137% of adjusted net income and strong working capital performance partially offset higher capital investments to support our growth initiatives. Our adjusted net leverage ended at 2.2 times adjusted EBITDA, essentially flat from the same point in 2020, despite deploying more than $4 billion in M&A capital during the year. Slide 5 provides an overview of our full year results for 2021. Compared to our initial guidance, we essentially doubled organic growth, nearly quadrupled EBITDA margin expansion and just about doubled the adjusted EPS growth. For the full year, our 11.3% organic sales growth included 2.1% in COVID-19 tailwinds, yielding core growth of 9.2%. On adjusted EBITDA, we were able to expand margins by approximately 190 basis points, including 30 basis points for M&A. The operating results, combined with continued progress on interest and income tax expense, resulted in approximately 58% growth in adjusted EPS. And lastly, free cash flow grew to $920 million in 2021, reflecting more than 100% conversion of adjusted net income. Our continued strong free cash flow supports rapid deleveraging and is an important enabler of our M&A strategy. In summary, 2021 was another outstanding year and our financial results reflect the value of our business model, our significant exposure to the high-growth biopharma space and our team’s relentless focus on execution, enabled by the Avantor business system. I am extremely proud of our team of more than 1,350 global associates and I remain confident in our outlook for 2022 and beyond. With that, let me turn it over to Tom to walk you through our financial results in more detail.
Tom Szlosek: Thank you, Michael, and good morning, everyone. I am starting on Slide 6. Organic growth in the fourth quarter was 2.5% or 4.6%, excluding COVID-19-related headwinds. For the full year, organic growth was 11.3%, which exceeded the high-end of our final 2021 guidance. Our two-year average Q4 organic growth rate, meaning organic growth, excluding the impact of COVID-19-related revenue, was approximately 5.5% and approximately 5.1% for the full year with both measures ahead of 2020 comparison. From a regional perspective, Americas, which represents approximately 60% of annual global sales, achieved 3% organic revenue growth in the fourth quarter. Excluding COVID-19-related headwinds, Americas core revenues increased nearly 6%, driven by a high single-digit sales growth in both biopharma and applied technologies and advanced materials end markets. Within biopharma, strength continued in our bioproduction business, with high-teens growth powered by sales for our single-use offerings and processed ingredients. Strength in research materials, consumable and services led to high single-digit growth in biopharma R&D, as funding remains robust and customers continue their emphasis on discovery work. Within advanced technology and applied materials, we continue to experience strong demand for proprietary content, particularly for aerospace and semiconductor customers. Europe, which represents approximately 35% of annual global sales, achieved 0.5% total organic revenue growth in the fourth quarter or 2.5% excluding COVID-19-related headwinds. Europe experienced strong double-digit growth in bioproduction, driven by single-use offerings and processed ingredients and excipients. Within Europe Healthcare, our medical implant platform grew more than 40% in the fourth quarter, partially offsetting the year-over-year decline in revenue from COVID-19 testing. EMEA, representing approximately 5% of annual global sales, achieved 9.3% organic revenue growth in the fourth quarter, driven by strong demand for our proprietary offerings in bioproduction and electronic material. COVID-19-related sales delivered a modest tailwind, net of which core revenue increased approximately 8%. Slide 7 shows our organic revenue growth for the quarter by end market and product group, biopharma representing more than 50% of our annual revenue experienced mid-single-digit organic growth in the fourth quarter, including more than 20% organic growth in bioproduction, driven by a continued strength in our single use platform, as well as double-digit growth in processed ingredients and excipients. Bioproduction demand continued to be strong, with year-end open orders up more than 70% from December 2020. Healthcare which represents approximately 10% of our annual revenue, experienced mid-single-digit organic decline in the fourth quarter, driven by lower COVID-19 diagnostic testing sales, offset by continued double-digit growth and our medical grade silicone offering. Education and Government representing approximately 15% of our annual revenue, experienced mid-single-digit organic revenue decline in the fourth quarter, driven by mid-teens decline in our government customer base, as COVID-19-related demand, particularly for diagnostic testing and PP&E offerings moderated as expected. In the education market, sales were down modestly, as recovery in university research labs and K-12 continued, albeit slowly, with a modest negative impact from lower COVID-19-related sales. Advanced technologies and applied materials representing approximately 25% of our annual revenue, achieved mid-single-digit organic revenue growth in the fourth quarter, driven by growth in lab products sold for research and QA/QC particularly in the Americas and EMEA, and in proprietary materials used in aerospace and semiconductor manufacturing. By product group, proprietary materials and consumables offerings achieved double-digit organic revenue growth, driven by strong demand for our processed ingredients, chromatography resins, excipients and single-use solutions, as well as by our biomaterials and electronic chemicals platform. Sales of third-party materials and consumables declined mid-single digits, reflecting year-over-year declines in the COVID-19-related testing and PP&E offerings previously mentioned. Let me turn to Slide 8 to offer some perspective regarding our key financial performance metrics. In the fourth quarter, we achieved approximately 16% growth in adjusted EBITDA and over 150 basis points of margin expansion to 19.4%. Our strong margin rate expansion was again driven almost entirely by gross margins, reflecting commercial excellence and the impacts from M&A. Adjusted earnings per share in the fourth quarter were $0.36, up 21%, reflecting the 16% adjusted EBITDA growth and lower interest expense resulting from the series of repricing and refinancing activities over the last year. Our approximate 20% tax rate for the quarter was flat to 2020, but for the full year, our rate improved from 23% in 2020 to roughly 21.5% in 2021. For the full year, adjusted earnings per share of $1.41 grew approximately 58%. Free cash flow in the fourth quarter was $314 million, compared to $286 million in the prior period. The increase was driven by stronger EBITDA growth and lower working capital requirements, offset by higher capital investments to support our ongoing growth as highlighted throughout the year. We finished the year with free cash flow of $920 million, with free cash flow conversion well over 100% of adjusted net income. The $52 million in free cash flow growth for the year or 6% was closer to 15% normalizing for the CARES Act and other non-recurring benefits we received in 2020. Turning to Slide 9, I wanted to touch briefly on our expected share count for 2022. I will start with the non-GAAP adjusted share count of 642.7 million that we have used for calculating our adjusted earnings per share since the IPO. This is the shares outstanding at the time of the May 2019 IPO, plus the pro forma conversion of the mandatory convertible preferred shares, as is the conversion occurred at the time of the IPO. Since conversion will not actually occur until May 2022, the 642.7 million adjusted share count has historically been higher than the U.S. GAAP share account, making our adjusted EPS conservative relative to the U.S. GAAP EPS. As we have previously communicated, we are changing the adjusted share count to 685 million shares in 2022 to reflect two changes. First, an increase of 23.8 million shares to reflect the shares we issued on September 13, 2021, to partially fund the Masterflex acquisition. And second, an increase of 18.5 million shares to reflect the stock option exercised and restricted stock vesting under our Stock-Based Employee Compensation Program. This amount covers the period since the IPO and includes an estimate of activity for 2022, based upon historical exercise patterns and known vesting date. By incorporating these changes, we anticipate the 685 million adjusted share count will equate with the share count for reporting U.S. GAAP earnings per share by the end of the year. Beginning in 2023, we no longer expect to utilize adjusted share count. Moving to Slide 10, we are reaffirming the 2022 guidance that was issued in January at the JPMorgan HealthCare Conference. We expect organic sales growth of 4% to 6%, which includes an approximately 2% headwind from reductions in COVID-19-related revenues from diagnostic testing and PP&E. Assumed in this guidance is biopharma growth of high-single digits, applied technology and advanced materials growth of mid-single digits, Education and Government growth of low-single digits and Healthcare growth of mid-single digits. We expect M&A to add approximately 5% and FX to be an approximate 2% headwind, resulting in reported revenue growth of 7% to 9%. We expect to achieve more than 125 basis points of margin expansion, resulting in a nearly 21% adjusted EBITDA margin rate. This reflects strong commercial excellence, continued favorable mix of higher margin content, ongoing productivity and integration benefits from M&A, offsetting the inflation pressures impacting most of our cost category. For adjusted earnings per share, we are forecasting a range of $1.45 to $1.53, representing approximately 13% growth at the midpoint, using a share count of 685 million in both 2021 and 2022. We model approximately $260 million in annual interest expense, reflecting the current forward yield curve for the portion of our debt that carries a variable interest rate. Our tax rate is expected to be approximately 22%. Finally, free cash flow is expected to be more than $1 billion, once again representing nearly 100% conversion of adjusted net income. Incorporated in this guidance is CapEx of approximately $150 million for ongoing capacity expansions and higher working capital to support our growth. One final comment regarding leverage, we are confident in the attractive cash generation capability of our business model and are committed to approach the midpoint of our target at 2 times to 4 times adjusted EBITDA leverage range by the end of 2022. This concludes my prepared remarks. I will now hand the call back over to Michael.
Michael Stubblefield: Thanks, Tom. I am now on Slide 11. Despite the challenging operating environment, 2021 was clearly another outstanding year at Avantor, due to the relevance of our business model, the importance of our mission and our team’s ability to execute. I am encouraged by the growth momentum we have in our end markets and by our traction with commercial excellence and productivity initiatives, that will enable continued margin expansion, despite expected high levels of inflation. We remain committed to our long-term growth strategy and we will continue to make investments in manufacturing capacity and innovation to ensure we have the capabilities to support our global customers. We continue to integrate the three acquisitions we closed in 2021 and are encouraged by the progress thus far. Our strong free cash flow and rapid deleveraging position us to consider additional capital deployment opportunities and our pipeline of potential M&A is robust. And we recognize our immense responsibility to our Avantor associates, customers, supplier partners, lenders, investors and the communities we serve, and are committed to advancing sustainability through our science for goodness platform. As we look ahead, Avantor is well-positioned to deliver another outstanding year in 2022. The role of our products and services in enabling scientific breakthroughs has never been more important and we are helping scientist every step of the way. We remain focused on meeting the evolving needs of our customers and relentlessly advancing life changing science. And we are committed to achieving our 2022 and longer term financial objectives. I want to thank you for your interest in Avantor and for your ongoing support. I will now turn it over to the Operator to begin the question-and-answer portion of our call.
Operator: Thank you, sir. And we will now begin the question-and-answer session. [Operator Instructions] Your first question is from the line of Tycho Peterson from JPMorgan. Your line is now open.
Rachel Vatnsdal: Good morning. This is Rachel on for Tycho. Thanks for taking the questions. And so, first off, can you just walk us through your COVID expectations for 2022? I know you were previously expecting the 200 basis points of headwind just given the testing dynamics, but can you just give us an update on the testing side of things, and then also, vaccine and therapies for what you are expecting heading into the year?
Tom Szlosek: Yeah. Thanks, Rachel. This is Tom. I will take that. And by the way, your [Ann Laurie] [ph] says hello. But anyway, I used to work with Rachel and Ann [ph]. When you look at 2021, it pretty much came in line with what we had expected roughly $400 million or so of COVID-related tailwinds. It was probably half vac and the rest, it was split between testing and PP&E. It -- the mix has kind of varied a little bit over the course of the year. But for the fourth quarter, we came in above where we expected in aggregate. For 2022, as we have said, we have got roughly 2% headwind from COVID. So we are expecting about between -- well, relative to the $400 million for the full year, it will be somewhere around $250 million in terms of COVID revenue. And the mix continues to shift, as I said, half and half between testing and vaccination in the -- in 2021 and it should be -- have a higher vaccination content in 2022.
Rachel Vatnsdal: Great. Thank you. And yes, I will make sure to say hi to Laurie. So, next up, could you just talk about Masterflex, RIM and Ritter Bio performance in the quarter? And M&A contributed about $90 million during 4Q, which is a little lighter than we were modeling. So, is there anything to look into there? And then, you mentioned immigration is going well for all three. So, can you just give us some additional color on early integration progress?
Michael Stubblefield: Yes. Good morning, Rachel. This is Michael. I am happy to take that question. As I indicated in my prepared remarks, we continue to be excited about the progress we are making on integrating really all three acquisitions in the quarter, I think, they came in essentially in line with our expectations. We are obviously in the early days with Masterflex. The contribution in the quarter reflects two months of having them in our portfolio, their strong performance out of the gate in line with expectations. We got a great order look similar to our own bioproduction order book and we are off to a great start there. On the other two acquisitions, I would say, more modest in size. But, again, we are also starting to realize some of the commercial synergies that we anticipated under some great technology there in the RIM Bio acquisition that we are now starting to leverage, particularly in some of the bag technology that we are now moving into our European business, for example. And in the case of Ritter, we have got some really great progress there, not only with the pipeline and the specification work that we are driving, but we mentioned early on that one of the things we were planning to do is obviously to embed our quality and regulatory capabilities in that business and we are able to launch our sterile product line, as well as earn IBD certification in Europe, for example. And we are making good progress on expanding the production or the product capabilities in that business to increase not only the scope of tips, for example, that we provide, but also introducing a number of other new product categories, PCR plates, for example. So we have a pretty clear line of sight for 2022 to a number of investments that we are making to continue to progress, the capabilities of that platform which we remain extremely excited about.
Rachel Vatnsdal: Great. And then last one for me. So you exited the quarter at net leverage of 4.2 times. I think you are targeting to hit roughly 4.7 post-Masterflex. So that was just a bit faster than we expected. So we have heard that you are targeting to reach the 2 times to 4 times leverage range by the end of 2022. So, first off, is there a possibility to bring that forward? And then, how should we think about that with your capacity on M&A? And then one follow-up on M&A, just given valuations that we are seeing in the markets right now, can you just talk about how you are thinking about the pipeline, just given, I am sure management teams would prefer to sell at a higher range? So, can you talk about how that pipeline progressing?
Tom Szlosek: Yeah. Yeah. Sure. Thanks. The leverage range came in, as Michael said, pretty close to where we were at the beginning of the year and that’s despite having deployed $3 billion worth of capital that was funded by barrowings. And it came in at 4.2 times at the end of the year, pretty much in line with our expectations we should probably connect our plan on the 4.7 times, that was probably the leverage as of the acquisition date, when we initially thought it, but we can talk more about that. The expectation going forward is really strong free cash flow as you have seen, probably, a $1 billion or so of free cash flow that would -- that’s available. The only nice thing that we have got going for us is, in the second half of 2022, I will no longer be paying the dividend on the mandatory convertible. So that’s probably another $65 million or $70 million of available cash for delevering as well. So if you take that into account and you look at our EBITDA and expected debt levels, we expect to be somewhere in the middle of our targeted 2 times to 4 times leverage range by the end of the year. That does not anticipate any utilization or deployment towards M&A. And I know Michael wants to touch on the second part of the question.
Michael Stubblefield: Yeah. You mentioned valuations and expectations from sellers. Clearly, there’s been a higher level of volatility in the capital markets as we get into 2022. I think my perspective is probably a bit early to see expectations change meaningfully one way or another at this stage. It’s been only a few weeks probably at these level I would anticipated, meaning a bit more time to the season before you might see things settle out in terms of seller and buyer expectations coming together here. So probably bit early than to call on how we see evaluations changing in the M&A space? Thanks for the question, Rachel.
Operator: Your next question is from the line of Derik de Bruin from Bank of America. Your line is now open.
Derik de Bruin: Hey. I just want to ask some of the obligatory questions on supply chains and what are you sort of seeing? I think some of your peers have seen some headwinds and just sort of wondering what’s that given your -- you -- your such a broad network. Is there any sort of issues with suppliers, any issues or disruptions? Thank you.
Michael Stubblefield: Good morning, Derik. Thanks for the question. We have mentioned, I think, Derik, probably, since beginning of the pandemic that supply chains have been certainly strained and the hot spots, if you will, have probably moved around a bit over the course of the last couple of years, certainly, new transportation has been strained. Labor availability particularly in the United States has been an issue. More recently things like workforce availability due to COVID, for example, and then various raw material and product constraints that have been slowed across the period. So, I think, in the fourth quarter, probably, in aggregate, really different impact on the business than what we have seen maybe in the previous quarters. Like I said, the hot spots probably have moved around a bit. And I think we have said at the last call some of the single-use components, for example, probably, a bit more constrained these days than they were earlier in the year and on the heels of really strong growth throughout the year. But in aggregate in the quarter, we are seeing any more strain on the business than what we have been seeing. And certainly, we look at our global manufacturing network, the global supply chain that we have, certainly favors our current footprints in providing flexibility and optionality to our customers to keep supplies moving. So, I think, net-net, we are in pretty good shape here, but the team does a lot of work to overcome a lot of inefficiencies around there right now.
Derik de Bruin: Great. And then just one follow-up, so what are assuming for inflationary pressures in your margins in 2022 and what are your pricing expectations? How are you helping to offset that? Are you able to press price on your customers?
Michael Stubblefield: Yeah. So, as Tom I think mentioned in his remark, we are seeing inflation across those cost categories whether that be wage, labor inflation, for sure, transportation costs are up pretty significantly, and then, product raw material cost are also up meaningfully. We do think though that our long-term margin expansion algorithm continues to hold even in this environment. And just for context, our base business, as we have indicated before, should expand margins, which we expect to expand margins, 50 basis points to 100 basis points a year by doing things like, driving price to offset cost of goods sold, onboarding productivity initiatives. We certainly benefit from the mixed impact in our business. You saw that again in the fourth quarter. We have proprietary content significantly outgrowing our third-party content and the corresponding margin benefit that comes from that. And we see 2022 shaping up no differently. We will get the requisite 50 basis points to 100 basis points expansion on our base business, and then, we will add to that the benefit from the three acquisitions that we closed last year, and so between the two of them, you get the guide that we have out of the gate here of more than 125 basis points. Pricing, as you mentioned, is going to be an important enabler for the expansion this year. Historically, about one-third of our revenue growth will come from pricing. We are probably looking at something on the order of 2x this year to account for the inflationary environment that we are seeing and I think -- and probably everybody surprised by that, given the macro environment and we have good traction underneath some -- underlying that.
Derik de Bruin: Thank you.
Operator: [Operator Instructions] Your next question is from the line of Vijay Kumar from Evercore ISI. Your line is now open.
Vijay Kumar: Good morning, Michael and Tom. Thanks for talking my questions. One maybe Tom for you, or perhaps, Michael on the guidance here. Just to clarify your organic of 4% to 6% that includes 200 basis points of forward headwinds. So ex that, that number is up 6% to 8% on an underlying basis, and if that’s right, your revenue guidance range, that’s a 200 basis points upper end to that, but your earnings there’s a 6 point, that’s maybe -- just walk us through on why your earnings range is wider than that revenues?
Michael Stubblefield: Yeah. There’s a -- thanks, Vijay. I think your math is right. The -- we -- our long-term growth model is 4% to 6%. But when you consider the impacts of 12%, we are still committing to that 4% to 6% and covering those COVID headwinds, I mentioned in the call earlier. In terms of the fall through to EBITDA and to earnings per share, there’s a number of dimensions that you need to give consideration to, including the environment that we are living within the context of inflation and getting the right assumptions on that, and also managing the supply chain aspects of the topline. I think both of those -- we just want to be ultra conservative in terms of the commitments that we are making. I think the -- when you look at what we have done in the last two years or three years. We have been pretty prudent at the outset. And as the year has gone on, we have shared the impacts of both the current quarter and expectations. So, I would expect that, over the course of the year, you will see an ongoing improvement in the EPS and margin expectation.
Vijay Kumar: Understood. And then one follow-up, your margin expectations for the year, 125 basis points of expansion. Can -- Tom, can you talk about what is base margin expansion versus M&A contribution. The reason that I asked because once these deals annualized, your LRP implies 100 basis points of annual expansion to hit the 24%...
Tom Szlosek: Yeah.
Vijay Kumar: … fiscal targets.
Tom Szlosek: Yeah.
Vijay Kumar: So what’s the visibility in the triple-digit margin expansion?
Tom Szlosek: Yeah. That’s great question. Yeah. And certainly, just to remind you, in 2021, we had roughly 30 basis points impact from the M&A on the margin expansion. So it’s having its intended effect and when you look in the fourth quarter in particular was really strong in terms of the impact on the margin rate. So, as we go forward in planning and this is, probably, a factor for you to consider that 100 -- the roughly 125 basis points I think we consider that to be a floor. And I would consider that in composition of our normal 50 basis points to 100 basis points on the organic business, call that, 75 basis points, and then with the difference made up by M&A. And I do think that we will execute well and probably deliver higher than the floor there. As we go forward, the business becomes -- has more scale to it and has a higher proportion of proprietary content and that bodes well for our margins and our margin expansion. So as we get into the proprietary areas, whether it’s in biopharma production, biomaterials, some of the advanced technologies and applied materials, parts of the business with the growth as we expect and with the investments that we are making both in capacity and in integrating some of the M&A, we feel very confident in that long-term projection of marginal expansion that we mentioned.
Vijay Kumar: That’s helpful, Tom. Thank you, guys.
Operator: Your next question is from the line of Dan Brennan from Cowen. Your line is now open.
Dan Brennan: Guys, good morning. Congrats on the quarter. So, I wanted to ask, first question is on bioproduction. So, assuming like $45 million to $50 million from that revenue in fourth quarter, my math implies like your base business in bioproduction could have grown like north of 20%. I am just wondering can you comment on like the base business, how it did in the fourth quarter and I know you gave the order trend, I think, on the annual basis. Could you tell us what the order trend was in Q4? And then, related to that, you mentioned the single-use technology expansion overseas and in the U.S., just comment how that’s going to impact the growth rate of that sub-segment?
Michael Stubblefield: Great. Great questions to start with, Dan. Bioproduction is [Technical Difficulty] quite important, obviously, to our business model. It’s the fastest growing part of our portfolio and the majority of those solution set is comprised of proprietary content, so it carries an important contribution to the margin expansion as well. Just to, perhaps, put it in context, as you all know, Biopharma is in aggregate a little bit more than 50% of our total revenue and above that, if we have Masterflex on the books, you are talking about production being about 40% of our Biopharma revenue overall. So it’s growing in importance to the business. In the quarter, we delivered another very strong performance in that platform, well more than 20% growth as you suggest and that really is comprised of vaccines continuing to run at a high level and kind of in line with expectations. We have had an order book there that’s been pretty robust and we had great visibility too. But I do think it is important to recognize that the core business continues to be the key driver of growth in our bioproduction platform. Our order growth also reflects that. We are sitting with approximately a year’s worth of orders on the books for bioproduction and as we now get a chance to see the Masterflex order forecast is also similarly impressive. And the composition of that order book would reflect, probably, 80% of that being our core business. So and what I have seen the historically strong monoclonal antibody modalities use or more recently some of the traction getting in cell and gene therapy, and the core business continues to be an exciting growth opportunity. And I think, long-term as we have indicated in some of our recent comments, that part of the business should continue to grow mid-teens plus over the long-term. We are probably doing better than that more recently. Within bioproduction, single use has been leading the way over the last couple of years, growing well more than 20% on a core basis. We have invested significantly with expansions at virtually every one of our facilities. We have been pretty transparent about that. I think we more than doubled our -- part of our footprint last year on capacity to fuel the growth that we see in that part of the business. So, we are very well positioned. We will continue to drive expansions in our excipients process ingredients capacity, as well as single-use. But the core business is in great shape and performed again quite strong here.
Dan Brennan: Great. Thanks, Michael. And then, I mean, as a related follow-up, which may be you kind of answered it. So looking at proprietary materials in consumables business, I know it’s a really important driver of the gross margin. I know you guys talked about growth of double digits in the quarter. We were calculating north of 20%. Is that in the right zip code and how do we think about like that segment growing within your 2022 context for guidance? Thanks.
Tom Szlosek: Yeah. As I mentioned earlier, around, our margin expansion algorithm on the base business which yields 50 basis points to 100 basis points a year of expansion. There’s a number of things that go into that including the mix. And historically, our proprietary content, our proprietary materials and consumables specifically have grown at a rate of kind of 2 times to 3 times, the third-party materials and consumables, of which tend to be more oriented into the lab products area, the lab RV space and so we are benefiting from our exposure to the production space with the proprietary content. And that certainly held true in the quarter. We expanded proprietary content in the quarter double digits, and certainly, we probably outperformed even our historical 2 times to 3 times differential to third-party. So strong margin expansion in the quarter and certainly mix was important aggregate.
Dan Brennan: Great. Thank you.
Operator: Your next question is from the line of Jack Meehan from Nephron Research. Your line is now open.
Jack Meehan: Thank you and good morning. I wanted to just go back to M&A in the quarter. Is it possible to get a breakdown of the $92 million between the three deals you did last year? And then on Masterflex, is that still on track for $300 million of sales in 2022?
Michael Stubblefield: Yeah. Jack, I think, when you look at your second part of your question there around the $300 million that we provided visibility to at the time that we did the deal, we are still very confident, and probably, more confident now that we have had the opportunity to have the business in our hands now for at least 90 days or so. Great order book, great innovation pipeline and improving visibility to how that business is going to perform and given the single-use focus in that business, it will continue to perform in line, I think, with the growth that we have been seeing in our own single-use business. So, I am very confident in the outlook for that, and certainly, in line with our expectations. And when you then kind of translate that backwards into the two-month contribution we got from that business, it certainly came in line with our expectations, as in the other two deals that we have in the quarter. Ritter, specifically, we saw some nice sequential 3Q to 4Q step up in that business and RIM Bio, obviously, much, much smaller deal than the other two, I would say, came in line with our expectations, but contributing at a much more modest growth.
Jack Meehan: Got it. And then, one more on bioprocessing, specifically, related to the COVID vaccines. Could you call out just how the order book trends compared to the revenue growth in the quarter? And I guess, just it would be great to get your latest thoughts on the hand off to non-COVID over time and just kind of confidence in that?
Michael Stubblefield: If you look at the contribution that we had to the roughly $400 million of COVID tailwinds in the year, approximately half of that came from COVID vaccines. And given the lead times for those products that go into those vaccines, many of them, not all of them, but some of are approaching a year’s lead time just given some of the constraints that highlighted in the supply chain. So when we look ahead and we are obviously have pretty clear line of sight to 2022 and the contributions that we anticipate getting from vaccines in this year, and I think, as we look at it, we are expecting similar contribution this year as compared to last year from the vaccines.
Tom Szlosek: Yeah. I’d say on the -- your question on the comparison of the sales to the order book. The order book has continued to grow significantly as we mentioned before. I mean, it’s more -- just on biopharma production, it’s nearly doubled since the beginning of the year. As Michael mentioned, the proportion of those open orders related to COVID continues to be less than 20% or so of it. So the shift through the migration that you have referenced, Jack, I think, stands out pretty well in those dynamics.
Jack Meehan: Thank you, guys.
Operator: Your next question is from the line of Tejas Savant from Morgan Stanley. Your line is now open.
Tejas Savant: Hey, guys. Good morning and thanks for the time here. Michael, I want your view on China. Can you just talk a little bit about any sort of customer asset issues and impacts you are seeing from the zero tolerance COVID policy? And then talk to how long this season plays given sort of the low level of natural immunity and a vaccine that hasn’t worked, as well as the mRNA modalities? And if and when, I mean, China decides to relax that policy, are you concerned at all that there might be a sort of disruption from a case surge or some such?
Michael Stubblefield: Yeah. Thanks for the questions. Good morning. I think it’s probably first important to put China in context for our business. The entire region has just did over 5% of our revenue, and obviously, China would be a subset of that. So, we are working on a relatively small base, but we continue to generate some pretty impressive growth numbers off of that small business. And the Masterflex acquisition will only help accelerate that giving -- given the footprint of capabilities that that business brings us in the region and the solutions that that gives us for the -- for our customers. So, we are certainly excited about our positioning there and I think we have a pretty optimistic outlook for that. In terms of just how we are interacting with our customers, I don’t know that China is any different for us than other regions. Other than we are obviously not able to send a lot of our exports from Europe and the U.S. into the region at least physically. So, we kind of worked around that with some of the video conferencing technologies. But it was certainly timely that we had opened up an innovation center there just prior to the onset of the pandemic. And as we do reviews on the utilization of our facility and the program, pipeline that they are working on, a pretty impressive contribution coming from the work that our teams are doing there. So despite some of the restrictions that we face in China, as well as around the world, our teams will continue to find ways to interact and engage with our customers in meaningful ways and progress our pipelines, and continue to support their efforts to bring clinical therapies to the market.
Tejas Savant: Got it. That’s helpful. And a quick follow-up on Education and Government, I think, Tom, you mentioned, expecting sort of low single-digit growth there in 2022. I was just curious as to what you are baking in into that assumption in terms of the NIH funding outlook, etcetera, being pretty robust. Obviously, there is the testing and PPE sort of COVID-related decline that you have to factor in as well, but curious as to get your take on that?
Tom Szlosek: Yeah. Thanks, Tejas. The -- yeah, no doubt the -- again environment was pretty strong in some of these new potential offshoots and NIH also looked promising if they can ever get funded. The environment is definitely improving for us from an Education and Government perspective. I don’t think we are -- we consider it to be all the way back, but we have seen gradual improvement. We are looking at it in 2022 is roughly mid-single-digit kind of growth in the group in its entirety.
Tejas Savant: Very Helpful. Thank you.
Operator: Your next question is from the line of Patrick Donnelly from Citi. Your line is now open.
Patrick Donnelly: Hey. Good morning, guys. Thanks for taking the questions. Maybe just one of the advanced tech and material segment, that continues to put up pretty strong results, can you just talk about the outlook into 2022, your visibility, I know that tend to be a little shorter cycle within areas of bioproduction. We talked about a yearlong order book or maybe just talk about the strength in the underlying market where you are seeing pockets of growth there, and again, confidence and visibility into 2022 will be helpful?
Michael Stubblefield: Yeah. Thanks for the question, Patrick. Obviously, that part of our business is highly fragmented across a number of different end markets and application areas, but it’s certainly works on -- we addressed a lot of the same workflows that we have in our life science businesses around testing, particularly around QA/QC work, as well as providing proprietary content and formulations to production environments and things like semiconductors, aerospace and defense, for example. As you suggest, pretty strong finish to the year. I think reflecting pretty strong PMI indices around the world, pretty strong production backdrop that we are supporting there. And I think pretty well noted, some of the frockiness in end markets like semiconductors, for example, with the demand that that’s driving is meaningful. So, I’d say, pretty strong macro backdrop. It’s supporting pretty strong output across most, if not all, the application areas that we support. Visibility at least on the testing side of that business, the QA/QC work is, looks a lot like the rest of our business, which is to say, a lot of that is kind of book and ship type of revenues. We are talking days or a few weeks. Certainly in the production platforms in semi, for example, we would have a much longer view into those trends. But I think continuing to support a pretty bullish outlook for the platform overall. But when we look at it from a year-over-year perspective, I think, in the mid -- something in the mid-single digits feels right on the lead terms.
Patrick Donnelly: Okay. That’s helpful. And then just a housekeeping one for Tom, just on the adjustments from the EBITDA side, it looks like corporate spends kind of jumped a little bit, which pushed EBITDA down. Can you just talk through what that was and I just want to clarify what you saw there?
Tom Szlosek: Yeah. Actually the -- when we look at overall expense for the quarter, in aggregate, actually came in a little bit better than in our expectations. I mean, the environment is not an easy one when it comes to inflation on both our salaries and -- but also when you look at some of the indirect spend that we would have in corporate. I don’t think there’s anything unusual or any trends or one-offs or anything in there. It’s -- I think it’s well-managed and I think we have got a good view on it for next year as well.
Patrick Donnelly: Okay. Thanks, guys.
Operator: Your next question is from the line of Matt Sykes from Goldman Sachs. Your line is now open.
Matt Sykes: Great. Maybe my first question, just on the line to the bioproduction question that have been asked, just given the supply/demand picture and the growth you are seeing. Just wondering in terms of customer behavior, what you are seeing, is there some additional stocking going on or is the demand have been pretty steady throughout the last year and beginning part of this year?
Michael Stubblefield: Thanks for the question. Demand continues to, obviously, be very, very strong. Supply chains continued to be relatively tight to keep up with all of the demands. So there’s really not a lot of excess capacity in the system to support incremental buying or inventory. And it’s a little bit unique in that, there’s shelf life considerations and storage considerations for the sensitive regulated materials that we are providing. So demand patterns have been strong and lead times for our materials have been extended as we move through the year. And so, it’s kind of transitory or incremental buying within a relatively tight timeline, really isn’t, something that can be accommodated easily. So, I think, the demand that we are servicing is pretty well in line with production levels of our customers.
Matt Sykes: Great. Thanks for that. And then just one more on just China, EMEA, obviously, you have mentioned before you want to increase exposure there. You have made an acquisition, RIM Bio. But you also mentioned that Masterflex gives you some exposure there. As you kind of look at building out your exposure there inorganically, in terms of your pipeline, is it sort of more of a local company that you would be looking at or do you think you can get enough exposure, build exposure through a multinational company with larger exposure to China? How are you thinking about building that exposure inorganically?
Michael Stubblefield: Yeah. Thanks for coming up to talk about our strategy. When you look at the way we approach, serving these markets, we take a workflow-driven approach to this and looking at what content and solutions that we need to provide, and we then go to work to build a compelling offering to serve our customers. And so, when we look at, the core workflows in bioproduction, for example, that we are looking to take hold and participate in, particularly, in a place like China, you look at cell and gene therapy as an area that they are moving aggressively and some of the tech transfers on monoclonal antibody, for example, we are pretty well positioned. And so, up until now, with demand levels where they have been for production in China, we have been able to satisfy the requirements by importing product from our sites in Europe or the Americas. And I think over time, the strategy has always been to localize capabilities as the market dictates to help shorten supply chains and derisk the supply for our customers and make it a bit more agile. And so, the -- certainly, RIM Bio gives us an additional footprint in that direction and we will continue to look for opportunities to, whether it’s inorganically or organically, continue to add capacity in region in line with kind of the ramp-up of demand in the region. So it will be a combination. A lot of these capabilities don’t exist locally. So, if you can find things that will allow us to execute our strategy we would certainly be interested. But we are also cognizant that some of these things might have to be built -- bring -- built by our own investments organically. So it will be a mix.
Matt Sykes: Great. Thank you.
Operator: Your next question is from the line of Dan Leonard from Wells Fargo. Your line is now open.
Dan Leonard: Thank you and good morning. A quick clarification on bioproduction and then a follow-up on medical grade silicone. So on bioproduction, you mentioned the 70% growth in your backlog, I am curious if that includes Masterflex or is that inorganic number? And then on medical grade silicone, you called out the growth there, just wondering, how big is that business now and what’s the growth outlook going forward? Thank you.
Michael Stubblefield: The -- I will take in reverse order for you. If you look at our biomaterials platform, which is an area that we are incredibly excited about. There’s a tremendous amount of innovation that is in that part of our business. We have got a very rich and deep pipeline of opportunities that we continue to progress with our customers and the growth outlook there is significant. And when I look at the contribution of that business on a full year basis, it was a very nice year for our -- for that part of our business rebounding strongly from well into the double digits, again relatively weak comparison in 2020, given some of the COVID-related restrictions. But strong contribution both from the pipeline, as well as margin impact on our business. The revenue from that platform gets reported in our Healthcare segment. As we have talked before, that’s about -- overall about 10% of our revenue. Roughly, 50% of that platform would be our fluid solutions that we provide for diagnostic testing and roughly half of that, the other half would come from our biomaterials platform. Your second question around the growth of the order book, as we have been anchoring numbers throughout the year here, what -- I think Tom shared with you would reflect just our organic order book be -- we will start to add in the other order books as they -- into those numbers as they become part of our organic story of the 12-month milestone. But as of now, we have recorded here just on the organic basis. But the order book for Masterflex is indeed significant.
Dan Leonard: Thanks, Michael.
Operator: This concludes our question-and-answer session. I will hand it back to Mr. Michael Stubblefield for closing remarks.
Michael Stubblefield: Yeah. Thank you, and certainly, thank you all for participating in the call today. I think I would like to end here by just reiterating my confidence in where we are at here heading into 2022. We are extremely well-positioned to deliver another very strong year with strong growth, margin expansions and cash flows. Our end markets are strong and we started the year with a significant momentum. So I am quite excited about the jumping off point. Also, I want to express my continued gratitude for the ongoing efforts of our associates around the world who are living our values every day and setting science in motion to create a better world. It’s going to be another great year. I am excited about what lies ahead for Avantor and look forward to updating you when we meet next. Until then take care and be safe everyone.
Operator: And with that, this concludes today’s conference call. Thank you for attending. You may now disconnect.